Operator: Good morning everyone. Thank you for holding and welcome to America’s Car-Mart’s third quarter 2012 conference call. The topic of this call will be the earnings and operating results for the Company's 2012 fiscal third quarter. Before we begin, I would like to remind everyone that this call is being recorded and will be available for replay for the next 30 days. The dial-in number and access information are included in this morning's press release, which can be found on America's Car-Mart's website at www.car-mart.com.  As you all know, some of management's comments today may include forward-looking statements, which inherently involve risks and uncertainties that could cause actual results to differ materially from management's present view. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The Company cannot guarantee the accuracy of any forecast or estimate, nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see Item 1 of Part 1 of the Company's annual report on Form 10-K for the fiscal year ended April 30, 2011, and its current and quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q. Participating on the call this morning are William Henderson, the Company's Chief Executive Officer and President, Rob Hey, the Company’s Vice President of Staffing and Development and Jeff Williams, Chief Financial Officer. And now I'll like to turn the conference over to the Company's Chief Executive Officer, William Henderson. 
William Henderson: Well good morning everyone. We appreciate you joining us today. And I believe you can see from our press release that our people have once again delivered in excellent fashion. First things first, I would like to thank our General Manager’s and Associates for their hard work and dedication. Even though we are so very fortunate to have such great people and there is no question that the heart of our success lies within their passion and commitment to take good care of our customers. 
 For our third quarter, revenues were up close to 14% over the same quarter last year and net charge offs as a percentage of receivables were down almost half a point from last year. Jeff will give all the details in just a moment. But the net result was an increase in net income of 28% for the same time period and actually a 40.4% increase on an EPS basis with the stock repurchases. We know that to continue to produce and grow we would constantly seek out our areas of opportunity for improvement and we are. We also know that there are times to really recognize and celebrate some outstanding achievements and this is certainly one of those times. A lot people have put in a lot of hard work and the results are solid evidence of those efforts.  And with that thought in mind, we are often asked what’s the most important factor is in our ability to continue to grow and I don’t think that answer has ever changed.  It really is all about the people. And it is imperative that we continue to effectively recruit, train and retain the very best. I would ask our VP of Staffing and Development, Rob Hey, to join us today that showing some of the initiatives within his department at this time. You know as they say time fly’s when you are having fun, it’s hard to believe it’s already been almost 7 years since Rob joined here coming here after being with Wal-Mart for over 20 years in both IT and operations so I’m turning over to Rob. 
Rob Hey: Hi William, thanks for the introduction. My department’s responsibilities here at Car-Mart they involve the recruitment, selection and training process for all the positions of the company. But I’ve got a much higher personal involvement in our future managers as I know that’s what’s going to move us forward as a company. You know in fact William and I will be meeting with each of our future managers in the next 2 weeks so that we may get to know them and address any training’s that they may have. As William did mention, prior to joining Car-Mart I did work with our neighbor down the street Wal-Mart where I was involved with their very aggressive growth plan and I do understand the importance of developing people to help move us forward. We have very, several initiatives underway, first of all we’ve recently moved an Associates Josh Meltzer into our recruiting position and his primary focus is finding those future managers. Josh has been to our management training process, he served as an Assistant Manager and he has also been a General Manager. Josh understands the kind of person we need to be a great manager and what kind of a candidate would be a good match for our mission, vision and values.  And we have over 54 of our locations identified as a training site for our future managers.
 And it’s important to remember that not only it’s a management training process important to our future leadership, but our Assistant Manager program is an excellent spring board for future managers. We’ve also recently produced a series of video training that was designed to focus on our sales process in all of our locations. These are not designed to replace the one on one training needed development an associate but they are an excellent reference tool for any Associates. They also help us maintain consistency in our training. And in the next few months we will be producing several other videos to address key areas of our company.  It’s also important to remember that training of our future managers doesn’t stop once they are promoted. We have 3 trainers that are dedicated to our new General Managers after they are promoted. Once the manager’s assigned their new locations these Associates work with them one on one helping to develop their skills. 
 Also in this area we have one associate Rob Sherry who is a very successful General Manager and an ALM for over 25 years and he has come out of retirement to help develop these new managers. Each one of our new managers is assigned time with Rob actually they’ve been in place for a month or 2. So the pool of people that we are looking for is huge. We are not focused on hiring people that have been in the car business before, but we will rather focus with people who have excellent people skill, who come from many walks of life. Currently, we have very successful managers who have been teachers, in retail, fast food and police officers just to name a few. There is not a lack of talent to choose from we just have to find the right people for the job. Now, I will turn it over to Jeff. 
Jeffrey Williams: Okay, thank you Rob. Once again we are pleased with our financial performance for the quarter with the 13.8% top line growth and a 7.9% increase in same store revenues. Quarter-to-quarter we continue to show steady improvement and growth at the top and bottom lines. Our growth strategy on our execution levels are continuing on a steady path. Our down payment percentage was 4.3% for the quarter, down from 4.8% for the third quarter of fiscal 2011 and for the 9 month period our down payment percentage was 6.2%, which was basically flat with the prior year. Collections as a percentage of average finance receivables was 14.8%, compared to 16.4% last year. For the quarter, the initial contract term was 26.6 months compared to 24.9 months for the prior year quarter. 
 The weighted average contract term for the entire portfolio, which includes modifications, was 27.7 months compared to 27 months at this time last year. The increases in turn or partially, or primarily related to the increase of selling price as well as our efforts to maintain affordability for our customers. The average retail sales price increased to $9,922 or 4.9% from $9,463 for the prior year quarter. Sequentially, we saw a $365 or 3.8% increase in the average retail sales price. Sales price increases have resulted from continuing overall supply issues and we do expect this condition to continue with gross margin percentages in the 42% range over the near term. We are not having problems finding good cars but we are having to pay more, which is contributing to our gross profit percentage challenges.
 The overall retail units sold per month per lot for the quarter was basically flat  at 26.9. Once again it is important to note that we believe that we have significant room for future volume increases from our existing store base. We had very nice results for the quarter and when you layer on top of that the potential volume increases the business model becomes even more attractive. We continue to offer our customers an outstanding inventory selection as compared to our competition and we combine with the sales execution at the lot level, the effective advertising and promotional efforts, we believe that we can drive higher sales volumes. Even with the increase of an average of 9 lots for the quarter our overall repeat customer percentage for the quarter was up slightly from the prior year period a potential indicator that some previous customers who had put off purchases, are coming back into the market. Interest income was up 16.5% for the quarter due to an increase in average finance receivables outstanding of $37.4 million and an increase in the weighted average interest rate during the quarter to approximately 14.7% from 14.3% for the third quarter of last year. The weighted average interest rate for all finance receivables at January 31, 2012 was approximately 14.7%, compared to 14.3% at this time last year.
 As a reminder, in Mid-July we did begin charging at 15% interest rate on all new contracts in all states. As such, eventually we expect the overall annual interest rate on our portfolio including late fee income to settle in at right around 15%. For the third quarter, our gross profit margin percentage was 42.4% of sales up from 41.8% last year and basically flat sequentially. The improvement from the prior year quarter relates primarily to slightly lower overall cost of sales expenses and improved pricing efficiencies offset somewhat by lower margins on the PPT and service contract products. We will continue to focus efforts on expenses and overall unit purchase costs, as well as ensuring that we maximize pricing efficiencies. Our goal is to balance affordability for our customers with appropriate gross margin percentages to enhance customer success. And as a company nothing is more important to us than keeping our vehicles affordable to our customers. 
 For the quarter, SG&A as a percentage of sales decreased to 18.3%, compared to 19.2% last year. The $1.3 million in overall SG&A dollars related primarily to higher payroll costs and other incremental costs associated with opening new lots. An average of 111 dealerships operating during the current quarter, compared to 102 for the third quarter of last year. As well as higher advertising and marketing costs.  Net charge offs as a percentage of average finance receivables was 5.7%. That’s down from 6.1% for the prior year quarter. For the 9 month period, net charge offs were 17.7%, which is flat with the prior year period. Again principle collections as a percentage of average finance receivables for the quarter was 14.8%, which is down from 16.4% for the prior year quarter.  For the 9 month period, collections were 46.3% compared to 48.8%. The decreases between periods can partially be attributed to the higher average portfolio interest rate, slightly longer average contract term, together with increased contract modifications. As we worked with customers as well as the fact the portfolio is a little younger when compared to this time last year.
 In addition, our Associates are working very hard with our customers and their individual situations including special payments related to income tax refunds. There have been several significant IRS funding delays this year. And we are working with our customers through these delays. The delays this year have had more negative effect thus far than the weather related issues we saw last year. The fact that our current, then our quarter ends on January 31 has a pronounced effect on collections between the third and fourth quarters. And this effect has been more pronounced in the last couple of years. With that said, our collections for the third quarter were a little less than expected and less than prior year on percentage basis. Our collections thus far in February have been strong and we are pushing hard to get customers equity positions in great shape during the fourth quarter. While we are still very early in the fourth quarter our current expectations are that collections for the fourth quarter this year will exceed prior year collections and that we will make up most or at least a very large percentage of the third quarter short fall with collections in the fourth quarter. We have our work cut after us with our Associates understand how important this is to our customer success and we are very focused on helping them succeed.
 Our 30 plus past due accounts were 4.7% up slightly from 4.6% last year. Our allowance for loan losses remains unchanged at 22%. Provision for credit losses for the quarter was 22.2% of sales up from 21.9% for the prior year quarter. The timing of the collections for the third quarter had a negative effect on provision as a percentage of sales. Had collections have been a little higher our provision could have come in a little lower than the prior year as evidenced by our lower charge off numbers. Annualized credit losses in the 20% to 22% range continue to be what we expect into the future. We will continue to push for improvements in lot level execution within the collections area. You should note that if collections in the fourth quarter come in were expected again we are very early in the quarter, we could be in a position of needing to reduce our allowance for loan losses as we have had several successive years of good solid credit results.
 At January 31, with our total debt at $83.9 million, we had $21 million in additional availability under our revolving credit facilities. Our current debt-to-equity ratio was 45.7% and our debt-to-finance receivables ratio is 26%. Since February 1, 2010 we have repurchased $61 million in common stock and 2.3 million shares or almost 19% of our company. We’ve added 16 dealerships and grown our receivable base by approximately $61 million. And as a reminder, our senior credit facility allowed for a $20 million carve out for additional share repurchases in fiscal 2012 and we took advantage of that during this first 2 quarters of this year. Currently share repurchases are generally allowed for like 75% of net income with some other restrictions. But we will continue to repurchase shares in the future when conditions are favorable. And now I will turn it back over to Hank. 
William Henderson: Alright, thanks Jeff. Well sales as far are strong for fourth quarter and as is typical for tax season sales we did see a dip in January as those customers taking advantage of our zero down promotion began to shift to those waiting until they actually had their refund money in hand. And that is evidenced by both pickup and sales and the rise and down payments that we are beginning to see. With regard to this tax down season Jeff has already mentioned this, but I would like to reiterate that we are presently in a very critical time. We will have more special payments setup than ever before. As we have for more efforts throughout the year integrating fees or payment into financing terms to help our customers structure deal setting up for the greatest likelihood of success. We would hope that as of today we would have even better idea of the success rate of these scheduled payments due to a lag of processing with IRS we aren’t quite there yet. With indications we do have thus far positive and we are confident that we will have an increase above last year. And we learned a bit more each year on how to most effectively structure and service these payments and I’m sure that this year will be no different. So and I’m sure we will need to tweak it a bit, but we do remain committed to structure payments in this manner is very beneficial as it does help to keep the overall term at a length to help assure the success of our customers. And everyone here understands that ensuring the success of our customers is how we assure our own.
 We are continuing to open new stores on those recent opening are 6 for this fiscal year, which just this past week in Moberly, Missouri and we have additional projects underway. We are targeting to have 3 more locations opened prior to April 30 year end foreign notes has been issued whether construction and such. Two of those being in Mississippi and one in Tennessee. And also I want to thank Rob for joining us today. He and his team are doing a great job in getting better every day. I would also like to highlight something that Rob pointed out. While it is very true that we are very selective to be sure we are hiring just the right people to become our future Car-Mart Managers. It’s also very true we’ve had a large pool to draw from as we are not limited to just a particular sector. We have great managers who have extremely varied careers. We have great opportunity for good folks with good people skill, high integrity and willingness to work hard. So when you consider the wide scope we can draw from there is no question that there are a lot of them out there. So that does conclude our prepared remarks. So we would like to move on now to questions. Operator? 
Operator: [Operator Instructions] and we will take our first question coming from John Hecht from JMP Securities. 
John Hecht: First one on this delay in tax refunds and the effects from the business, first of all do you guys have a sense for what, how many weeks this refund is delayed versus say a year ago? 
Jeffrey Williams: Yes, it’s been very spotty this year. The IRS is having some system issues so we were getting different answers every day. But it looks like maybe a couple of weeks on average behind last year. And then when you look back prior to last year refunds came a lot earlier and lot of it had to do with the refund anticipation loans that have basically gone away. So we’ve really had a swing into the fourth quarter in the last couple of years and this year is more related to some IRS system issues. 
John Hecht: Okay, can you give us you talked about special payments or capacity extensions. Can you compare say we are a year ago what percentage of your customer base was effectively to one of the situations versus this quarter? 
Jeffrey Williams: We without giving the specific dollar amounts the dollars drafted for special payments are significantly higher this year than last. Our promotions the income tax promotion that starts the first and the third quarter was more successful this year than last. So just that piece is more and then we also had payments that have been setup throughout the year. So the dollars were significantly higher I’m not really prepared to talk about the magnitude of that it’s just a quite a bit higher than this year than last. 
John Hecht: Okay and final question related to that you mentioned that you are seeing that early signals that things are starting to normalize or catch up. If you had, and you nod it off you can do this now Jeff but if you, if corrections went up by something by 4% or 5% in the quarter can you give us the frame how that might impact the provision of the downward basis? 
Jeffrey Williams: Well you know the simple way to look at it is the reserve as a percentage of AR is 22%. So every dollar collected all things made equal this is, that much less money on the table and that’s that much less that needs the 22% applied to it in general terms. 
John Hecht: Okay, I understand I think that's a good framework to think about. And then just finally on the margins and I will get back in the queue. It sounds like you referred to some margin pressures you’ve been doing a nice job of holding margins up in this mid kind of 42 range despite having the rising costs and you are now saying that it seems like you are applying to, that might go your margins might go down. Does that apply that either you are kind of feel like you topped out your retail price movements and you rather take a little bit of margin constraint now to help your customers out and not threaten credit quality or how should I think about that? 
Jeffrey Williams: That has a lot to do with it there is in this business maintaining affordability and ensuring that the customers have equity in the transactions from beginning to end is extremely important to us and as a result we’ve not passed on all those cost to consumers as the price has gone up. But there is also a fair margin we have to get in this business. So we are always trying to balance that equation and at this point we’ve had to sacrifice a little bit on the margin percentages on a per transaction basis with the dollars generated are still greater. The gross profit dollars per transaction are higher but just as a percentage in an effort to keep the payments affordable to this point we’ve had to sacrifice a little bit there and... 
William Henderson: I would point out too where we’ve always had the rise in the price has always been with us. No, we’ve never seen then actually go down we do know that we just; this has been the time of the year where we see the increase to accelerate each year. So hopefully we will see that flatten back out as we get on with it this next year. 
Operator: And we will go with our next question from Bill Armstrong from C.L. King & Associates. 
William Armstrong: So the allowance for credit losses you may reduce it from the 22% that you’ve had in place for a number of years. I just wanted to examine that a little bit so collection rates are down I know you are hoping for that to rebound in the fourth quarter. Charge-offs generally on an annualized basis has been above 22%. So I guess I was a little surprised to see that you might reduce your allowance below 22%. So I was just wondering if you could just walk us through how that would work and how much are we talking about here will it be 21%, 20% something like that. 
William Armstrong: Okay, and then just a clarification on gross margins. I my call got a little jumbled but did you say that you expect to maintain around 42% gross margin going forward or maybe you called below that? 
William Armstrong: A lot of people in the industry are looking towards you know the fourth quarter of this year calendar ’12 and then especially into next year as more off lease cars come back into the wholesale market and we should start seeing supplies be more plentiful and then prices hopefully coming down. Are you hearing that from your suppliers is that kind of what you foresee if you look out for the next year or so? 
William Henderson: Well certainly in the near term they generally flatten out for the brains that we are in we are not in that market for the direct off fleet cars kind of a little step down from that. But certainly just more cars in the used market helps overall. But since this is such a big sales time of the year we know that the demand is going to come down a little bit and that will help flatten the process. We are always looking at and we’ve got some things in place where we came into broaden our scope of where we go and look for cars and as we said before we just know that prevailing ourselves to more and more to look and negotiate deals and so forth help us to control our own and to keep it flat as possible that’s our focus and intent for this next year. 
Operator: And we will take our next question from [indiscernible] from US Capital. 
Unknown Analyst: My first question is how many shares are now outstanding? 
Jeffrey Williams: About 9.5 million. 
Unknown Analyst: And you’ve continue, how much is available on the repurchase? 
Jeffrey Williams: A little over 900,000 shares. 
Unknown Analyst: 900 more? 
Jeffrey Williams: Yes. 
Unknown Analyst: Okay, has the board considered a dividend? 
Jeffrey Williams: Well, we consider that stock repurchase is a pretty good dividend but as far as cash dividend no. 
Unknown Analyst: Cash dividend? 
Jeffrey Williams: No. 
Unknown Analyst: No? 
Jeffrey Williams: No. 
Unknown Analyst: I got you; I guess that into consideration in the future? 
Jeffrey Williams: Well, you know we are really looking at 5 and 10 years and we feel like the share repurchase program and how we’ve executed that is going to benefit current shareholders over the long-term. 
Operator: [Operator Instructions] and I’m showing just one or couple more questions now coming in. Our next one is coming from Mike Stone, who is a private investor. 
Mike Stone: Thank you. My question is similarly along the same lines as the dividend question. But it relates to the tradeoff between using cash to buy shares versus using that cash to accelerate new store openings. My thought was that that would lead a faster growth rate, which potentially could lead to a higher TB multiple. As it in the long run shareholders might be better, taking that approach and I just wanted to get your thoughts on that. 
William Henderson: Well I think that you know for quite some time we certainly had the availability of capital because of the accelerated growth. Ours is a business we feel very strongly it has to be such controlled growth and we feel like for the development of the people that type business that we are in, we feel like our growth plans are reasonably aggressive. And so we don’t want to get ahead of ourselves, we want to grow. But it’s important that we have a very healthy growth and do it in the right way. Might there be an opportunity in the next years to pick up that growth even a little bit more absolutely.  That’s some of the things we’ve talked about and we continue to develop these training tools. Such, we may be able to pick up some growth little bit more but we feel like for where we are right now this is reasonably aggressive for us. 
Jeffrey Williams: You know our balance the company basically without the share repurchases would have very little debt at all. And so we’ve been very aggressive the last few years with the share repurchases and the balance sheet is still extremely healthy and they internally generate cash flows they support the growth and then we’ve been able to have our cake and eat it too with the very strong top line growth and the share repurchases. So we feel like what we’ve done in the recent past is going to benefit shareholders very well the long-term. 
Operator: And I’m showing our last question at the moment coming from Dan Furtado from Jefferies. 
Daniel Furtado: I just had to be on 2relatively simple questions and the first is just from a competition stand point are you noticing, is there any noticeable changes taking place on the competitive front? 
William Henderson: Not any big moves really we are in small towns and vast majority of our competition has always been the local Mom and Pops. And you know I’m sure the numbers will reduce slightly for the most part they continue to hang in there they get always reduce their overall volumes. Certainly with the rising cost of cars over past few years can put a crunch on them.  It takes a lot more money. But no, overall we haven’t seen any significant changes. 
Daniel Furtado: Great, and then the second is can you help me understand just kind of like what your exposure would be to some of the troops coming back home, or are starting to come back home is that something that could materially impact the business or is this just something that’s more on the periphery? 
William Henderson: I don’t think that it would materially impact. We do have a few of our locations that are around large bases, which is already so many folks there. We do have a lot of great presenters in the military but I don’t think that would move the needle. 
Operator: [Operator Instructions] and at the moment I’m showing no further questions. So I would like to turn the conference back to your host for any concluding remarks. 
William Henderson: Well again, I thank everyone for joining us today and we will get back to work and continue to do our very best and continue to bring you some good report, show good results. Thank you. 
Operator: And ladies and gentlemen that does conclude your conference. You may now disconnect and have a great day.